Operator: Good day and welcome to the Umicore Full Year 2014 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Grynberg. Please go ahead, sir.
Marc Grynberg: Thank you, Lidian. Good afternoon, everybody and welcome to this presentation of Umicore’s full year results for 2014. I will talk about major business developments and the outlook for this year before handing over to Filip, our CFO, who will cover the financials. I will then wrap up before handing the call over to you for questions. The figures we published this morning are pretty in line with the earnings guidance we provided in the course of last year and we will comment on those in a moment. Actually I would like to elaborate in first instance on the outlook for 2015, as well as on our attention to realign the portfolio of activities. While the year has just begun and there is quite a fair degree of uncertainty regarding macro factors, I am confident in not to confirm that 2014 was a tough year and the overall profitability should be higher for Umicore in 2015. As I mentioned in the second part of last year, we start to see the benefits of recent growth investment, as well as the impact of cost reduction measures. In particular I anticipate a higher contribution in 2015 from the Catalysis and the Energy Materials business groups. In Catalysis, the improvement should come from the ramp up of heavy duty diesel catalysts production in Europe and China and further growth in demand for emission abatement for light duty vehicles across regions. In Energy Materials, revenue and profitability are set to increase further reflecting the contribution of recently acquired activity as well as growing demand across business units. Performance Materials is set to grow roughly in line with GDP in its principal markets. In recycling we have enough visibility to say that supply should be broadly in line with the conditions that prevails in 2014. And I expect that the downtime due to the expansion investments in Hoboken should be compensated by an increased underlying throughput. In addition, we have taken advantage of the recent strength in precious metals prices and U.S. dollar exchange rate to hedge the precious metal and dollar components of a number of contracts for 2015 and to a certain extent contract for 2016. These hedges increased earnings visibility and were concluded at rates that we consider correspond to attractive levels of profitability and cash flow. Let me now provide some more colors regarding the portfolio of activities. You will have seen from the release this morning that we have plans to realign our portfolio of activities like we have done several times in the past. The purpose of this realignment is to sharpen the focus of Umicore and create for each business activity the best conditions for successful further development, for the two zinc business units, I think chemicals and building products this entrails that we will be looking at divestment options. We have taken the necessary steps in recent years to strengthen the comparative position of all zinc business units and restore their profitability through a combination of selected growth investments and cost reductions measurements. Both units are low in the sound position from a commercial, financial and operational point of view and are ready for the next step in their development. It has become clear though that as Umicore hones its focus on activities link to resource scarcity or clean mobility that the zinc businesses will have better growth opportunities outside Umicore in an environment that is specifically align with their respective products services and applications. In Thin Film Products and Electro-Optic Materials we have also faced challenging market developments in recent years. Those business units have successfully defended their competitive position and profitability and have made headways with the marketing production of an exciting range of new products. To grow these businesses most effectively further we should not consider strategic partnerships and alliances in order to enable the units to gain critical mass and increase their market presence. In further countries the operations of these units are embedded in multi-business entities so from a practical point of view we will need to set up separate bigger entities to house these activities. As a first step up we have initiated an information process with our employees and their representatives to clarify our intentions regarding the portfolio of activities and the future direction. Once the information process is completed we will be in a position to press ahead with the next and more concrete phase and we hope to be able to implement the portfolio realignment by the end of 2016. As we pursue this process we’ll be guided by the quality and the merits of each project and the timing will remain of course subject to the right opportunities presenting themselves and the presence of the right market conditions. Filip will comment on the overall group financial performance in a moment. For now I would like to take a brief look at each of the business groups in turn starting with Catalysis. Revenues in Catalysis were up by 6% while the recurring EBIT was up by 13% year-on-year. In automotive catalysts the increase in revenues was partly due to higher sales of heavy duty diesel catalysts as we’re on for production in Europe and China. We also generated higher overall global sales of catalysts for light duty vehicles with the evolution being different in each of the main markets. In Europe the growth was based mainly on gathering platforms and the margin mix was therefore not as supportive. However, some of the Euro VI diesel platforms that Umicore catalysts were successfully introduced in the last quarter of last year and their contribution to the growth of the business should be more visible in 2015. The engine mix evolution also played out against us in the North American market where our revenues were lower. This was because small and medium size vehicles to which Umicore is less exposed gained in their overall share of auto sales and production. In recent month though we have seen the trend reversing with larger engines regaining some of their lost popularity as the gas price drops. In Asia the main story is that we continue to outpace this strong growth in the Chinese market. In Precious Metals Chemistry we generated lower revenues due to lower demand for precursors used in non-catalytic applications particularly in the Brazilian automotive market which contracted substantially in 2014. A number of investment projects for Catalysis were completed last year such as the new catalyst plant in India which was integrated in January and the new HDD production lines in France and China. We have several investments underway across the globe and this year we expect to open the new productions plant in Poland and the new technology development center in Korea. You will also recall that we recently announced the construction of a new catalyst facility in Thailand to cater for the surging demand for emission control systems in Southeast Asia particularly from Japanese customers. In energy materials revenues were up by 11% while recurring EBIT grew by closet to 60%, the revenue growth was driven by higher sales volumes in all business units particularly in cobalt and specialty materials. Revenues and earnings were higher largely due to the integration of recently acquired businesses in the United States as well as good volume growth in the ceramics and chemical activities. As we talk about battery materials revenue growth was driven by the continuing growth in demand for materials used in batteries for high end portable electronics. Volume growth in this segment is combined with the continuing evolution towards more energy intensive products featuring larger screens and 4G connectivity. With regard to materials for automotive applications Umicore successfully qualified for new platforms to be launched in the coming years and covering all degree of electrification. In Electro-Optic Materials revenues increased due to volume growth in finished optics and a greater contribution from the recycling and refining activities. In Thin Film products we see the demand for indium tin oxide rotary targets used in large area display applications picking up nicely. As you can see on the Slide 9 we have had a busy year in energy materials when it comes to growth initiatives. We completed the expansion of the battery materials facilities in South Korea and China. In Cobalt & Specialty Materials we completed two acquisitions that give us a broader platform for growth in Europe and North America and also going to complete the upgrade of the cobalt fine products affinity on Oreland, Belgium later this year. In interim products, we entered into a joint venture with First Rare Materials in China and are currently investing production capabilities for rotary ITO targets that will help us meet the growing demand from the large area display market in China. In Performance Materials, although revenues were down by 3%, compared to 2013, possibility was well ahead driven by a higher contribution of Element Six Abrasives; revenues were stable in building products with the higher volumes in Europe offset by lower demand for high end products in other regions. Revenues were also stable in electroplating with lower sales of technical applications compensated by higher demand for materials use in decorative application. Revenues in technical materials and platinum engineered materials were lower, in zinc chemicals revenues were higher although the overall performance of the recycling activity remain subject to the scarcity of residue for recycling from the galvanizing industry. As I mentioned earlier we have completed or our schedule to complete several investments this was add to the growth potential for the zinc chemicals and building products activities. These include the opening last year of new plants to produce surface treated zinc in France and the [indiscernible] plant which is due to open later this year in China. These investments will add to the attractiveness of the businesses in the context of the [envisioned] divestment process. In recycling, revenues were down by 10% while recurring EBIT was down by 30%. As you know, this was mainly the result of the impact of lower metal prices. It is important though to place the performance in perspective and not forget that the return on capital employed into this business group was a very strong 40%. The effect of lower metal price was once felt more strongly in the precious metals refining activities and across the three main baskets of metals one basket being gold and silver, another one PGM and the third one being specialty metals. The availability of raw materials remain robust in 2014 across most segments and this reported a higher intake of material. The supply need forever was less positive reflecting a lower availability of PGM rich materials partly as a result of the long lasting strike in the South African PGM industry and the somewhat reduce fraction of richer and more complex e-scrap. The Hoboken operations manage to keep process volumes stable year-on-year with a gradual increase in underlying throughput compensating for the production downtime required last year to implement out of the expansion investment. The Jewelry & Industrial Metal business unit recorded flat lower revenues; higher demand in the product businesses was more than offset by a lower contribution from the recycling activity where refining volumes were clearly impacted by the severe decline of available gold scrap compared to the previous year. The market conditions for precious metals management were also somewhat less favorable given the lower metal prices and reduce levels of both industrial and investor demand. We’re making good progress with the capacity expansion of the Hoboken plans. The first phase of this €100 million investment program was carried out in 2014 and as I mentioned on previous occasion some efficiency improvements are already being felt. Further major investments will take place during two extended shutdowns into course of this year, while the total production downtime will be longer than last year the increase throughput rate after the investment is anticipated to compensate for the loss production base. As we explain before, we should be in a position to start ramping up in 2016 with a gradual utilization of the extra capacity and the full benefit then of the expansion becoming evidence the year there after. With regards with the Jewelry & Industrial Metal operations, we should also complete this year the final elements of the silver refining capacity increases that we have been implementing around the world. If we look at the people side of the business, the total number of people employed by Umicore changed very little during the year. The growth initiative in Catalysis and Energy Materials did result in an increase for the fully consolidated activity while the number of people employed by or associated fell particularly due to the restructuring in Element Six Abrasives. In terms of safety, you will recall that several years of continued improvement were over shadowed by the accidents in Oreland in January last year in which two of our employees unfortunately lost their lives. Our teams have made good progress in addressing process safety in the meantime in order to reduce the risk of such an accident happening ever again in the future. The overall accident frequency for 2014 was slightly higher than the previous year although the fact that the 84% of sites were accident free serves or should serve as an encouragement that we are on the right track. And at this stage I would like to hand over to Filip who will comment on the financials.
Filip Platteeuw: Thank you, Marc and good afternoon everyone. Consolidating the segment performance that Marc just discussed on the group level, we see that our group earnings were lower than 2013 as the volumes growth and the benefits that we have from the cost reductions shouldn’t or couldn’t compensate for the impact of lower metal prices and currency headwinds. Our recurring EBIT was 10% lower while if we strip out the increased depreciation cost that follow our recent investments our recurring EBITDA was 4% lower. Our return on capital employed was 12.2% reflecting an increase in all segments except for recycling but as Marc mentioned in recycling we still generated close to 40% returns. And moving to the cash flows you can see that they remain resilient in 2014. The reduction in operating cash flow which reflects the lower results in recycling was compensated by a further cash inflow from working capital and that to the amount of €56 million. This follows an already substantial working capital reduction that we have in 2013. The solid operating cash flow meant that after spending close to 250 million non-CapEx and the acquisitions in Energy Materials we still generated 140 million of net cash flow before financing. Despite the fact that we had several important expansion projects on the way or completed in the course of 2014 we ended the year with a CapEx of some €200 million and that compares to €280 million in 2013 and it corresponds to 1.2 times our D&A level. For the currency we do anticipate again higher capital expenditures most likely in the region of the level seen in 2013 as number of sizeable projects go inside such as the new plans for automotive catalyst and the Hoboken expansion program. And obviously the large majority of our investments remained focused on growth and on Catalysis Energy Materials and recycling business groups. As already mentioned Energy Materials complemented its organic growth with two acquisitions in the Cobalt & Specialty Materials business unit, one in the U.S. and one in Europe. Those accounted for combined cash out of €35 million. Finally we continued our commitment to focus R&D efforts spending roughly the same amount as in 2013 which caused comps to 6% of our revenues. Now next to the substantial growth expenditures and notwithstanding our lower earnings we maintained a substantial level of cash returns to our shareholders this in the form of buybacks, share buybacks, and dividends. Together they amounted to 187 million which is actually close to the level of 2013 and represents more than 40% of our cash flow from operations. You will also recall that we canceled 8 million of our treasury shares back in September and currently hold approximately 3.5% of our shares with a mandate to grow up to 10%. Umicore’s Board will propose a stable full year dividend of €1 per share for approval by shareholders in April. Based on our recurring 2014 EPS of €1.79 per share this would correspond to payout ratio of 56%. Putting all cash elements together you can see from the waterfall chart on Slide 20 that the combination of growth expenditure on the hand and cash returns to shareholders on the other led to a slightly higher level of net debt at the end of 2014 compared to the beginning of the year. Net debt at the end of December stood at close to €300 million. And this obviously changes nothing to the severity of our capital structure. Our net gearing ratio stands at 15% and average net debt remains about half our recurring EBITDA. We further reduced our over the low average rated net interest rate to just below 1.6%. Finally let’s look at the non-recurring results non-recurring EBIT was minus €22 million with restructuring charges accounting for 20 million. And these were mainly related to the closure of the Element Six Abrasives production facility in Sweden and the various cost reduction measures in corporate and support functions and adjustments to the production configuration and that is in a number of units. The 8 million reversal of previously impaired permanently tied up metal inventories more than offset additional environmental provisions related to the remediation of historical pollution that amounted to €7 million. Now with this I would like to hand back to Marc.
Marc Grynberg: Thank you, Filip and before turning to questions let me summarize the key elements of today’s message. We have delivered result that are fully in line with the guidance that I gave early last year and guidance that what confirms in the course of the year and at the end of the year and these results reflect I believe a trust year for us. We have a number of major growth initiatives underway and I expect that this year we will start to see more of the fruits of recent investment accruing for the top-line and to the bottom-line of Umicore. This could be accentuated by somewhat more supported market conditions if metal prices and currency exchange rate stay approximately where they are today and assuming of course no major economic downturn. Finally, we are embarking on the process to optimize the growth and value creation potential of our portfolio of activities, the process being to sharpen the focus of Umicore and create for each activity the best conditions for a successful further development. And so with that, I would like to now open the floor for questions.
Operator: Thank you. (Operator Instructions) And we will now take the first question from Mutlu Gundogan from ABN AMRO. Please go ahead. Your line is open.
Mutlu Gundogan: Yes, good afternoon everyone. I have four questions two on recycling, one on Catalysis and one on the divestments. To start with recycling, you’ve expect that the significant capacity increase in Hoboken will be offset by the two maintenance shutdowns and obviously you want to get to 500,000 ton, so significant capacity increase and more than double-digit, so that means maintenance shutdown they will last for a very long time probably two months or so which I find rather unlikely. So can you explain how you get to that guidance of set volume -- of set volume growth because to me it doesn’t add up? The second question is on the energy bill and recycling, obviously we’re seeing oil prices comes down, we know you use coal, fuel, oil, electricity prices, so these should follow I think with a certain lag, so what do you expect of your energy balance ’15 compared to ’14? And then moving on to Catalysis, you talk a lot about HDD, I know you don’t provide the numbers on the [BU] level can you talk about know the relative size what it is today and what you expect it to become and maybe a year or in a few years times, what is the expectation that you're having in this business? And then finally on divestments, what do you plan to do with the proceeds, how your balance sheet is very strong, CapEx is currently high but we should be coming down somewhat if these mega projects ends. So what do you do with the money? Those are my questions.
Marc Grynberg: Mutlu let me start with the first question regarding recycling; actually one should not assume that the capacity is available overnight, it's not like switching the light on and off. As I explained on the previous occasion the capacity increase will be gradually available in sanction of the investments that will take place in two phases in the course of 2015 and then even thereafter the ramp up will be gradual as is customary for this type of process technology indeed. So -- and that’s also what you have seen after the investments that were made in 2014. So you should -- what you incur in terms of shutdown time is not necessarily correct, although I have to say that the shutdown will be much longer than usual maintenance shutdown because of the amplitude of the investments and the works to be carried out as part of the expansion plan. So, you should really assume that there will be a gradual ramp up starting the beginning of 2016 and which will take a year or more to be completed, as I explained on previous occasions. Energy is in the significant cost component or recycling activity and yes, it is fair to say that at current levels -- as current levels continue to prevail, all energy bill will be somewhat lower in 2014 than it was -- in 2015 than it was in 2013. This being said, I would like also to put this in perspective in the sense that what you say for gas price or fuel oil or coal is indeed what we see in the market, we don’t see the same benefits speculating to the electricity price which is set in certain countries like Belgium according to different mechanisms and with a significant cost component that is related to all kind of peripheral costs like distribution, network, taxes et cetera and not really to the price of the -- of energy itself. So that will mitigate the way the impact of lower energy prices overall. In Catalysis I am not willing to go into more detail in terms of the size and expectations of the heavy duty business suffice to say that it was not very material until now and with the ramp up that has started to take place at the end of 2014 and which will continue to take place in 2015 it will reach a material contribution to the top line and the bottom line of the business group although I don’t want to quantify that. And lastly your question about the proceeds I am afraid it’s premature to say that we have in first instance to address the information process that we initiated with the employees and their representatives. Once that is done clearly we will move and hopefully we can move as quickly as possible to that next phase. We will start to evaluate more concrete possibilities. And in due course we will determine what to do with the proceeds of divestments if and when it takes place.
Operator: We will now take our next question from Paul Walsh, Morgan Stanley. Please go ahead your line is open.
Paul Walsh: Thanks very much good afternoon everybody and thanks for taking my questions just three quick ones if I can. First on the hedges, my understanding is it’s around two thirds on the metals that you can hedge and one thirds will expose particularly to the specialty metals. My question is year-on-year given the prices you’ve hedged and the euro rate that you’ve hedged against the dollar. On those hedging pieces that you’ve done would you anticipate operating profit to be up or down on a comparable basis? My second question in the disposals that you’ve highlighted today any guidance on the sales and EBIT that those businesses are generating? And the third question connected to that is what would you use the proceeds for, would you embark upon further cash return or would you be looking to redeploy any proceeds in growing the business elsewhere? Thank you.
Marc Grynberg: I’ll take the first one on the hedges and maybe start with putting the hedges into perspective in the sense that you know that last year 2014 we had a very low hedge book because of basically revolution of metal prices. And indeed we wanted to signal that this has changed beginning of this year because as you saw normally you have kind of dollar evolution dollar euro kind of compensating for metal prices we’ve seen clearly in the beginning of this year that actually they have come together so we took use of that increase in metal prices and euro to indeed hedge a sizeable portion and I would say if you look at the level of the prices in the course of January and again we’re talking about last few weeks you will see that those prices are indeed above the prices that we’ve seen in 2014. And given the fact that in ’14 we had a low hedge book you can indeed conclude from that that we should benefit from those hedges compared to last year. The second element to add is that we typically only hedge when we are comfortable with the levels resulting in the profitability which is attractive for the units. So, indeed we have made good use of the increase over the last weeks I would say to hedges sizeable portion and that should benefit us.
Paul Walsh: So can I just ask one quick one before the other two, why in your outlook are you not guiding them towards recycling adding to year-on-year EBIT as well in a meaningful way if the hedges are paving the way for that, is there still uncertainty around the remaining third that’s not hedged or is it because there are uncertainties around how much output there is going to be just curious?
Filip Platteeuw: Because it’s too early I mean it comes from what Marc has said about there’s being an important year for us I think it’s simply too early in January to really integrate that. part of the answer is what you have mentioned as well in your question in the sense that there is part of metals obviously that we cannot hedge it’s not like we are obviously fully hedged we only can hedge part of those metals and it’s too early to really extrapolate that cycle.
Marc Grynberg: And Paul if I can add to that I would say that we typically provide quantified guidance for the first time at the end of the April at the time of first quarter update and this year should be an exception.
Paul Walsh: That’s clear, thank you.
Marc Grynberg: Let me them move to your other question regarding the EBIT contribution of the business that we envision to divest and let me -- simply do not disclose details by business units let me help you by saying that the weight of these of two business units in the revenue and capital employed of the business group is significantly larger than the relative EBIT contribution. So people also say that their returns on capital employed are below the average of the business group, so it is not a meaningless EBIT contributions far from that but it's a relatively smaller than their revenue contribution and portion of capital employed. This being said, I would like also to emphasize that these are business units in which we have invested quite a reasonable amount of money in the last few years in order to modernize some of their facilities and also add equipment for growth production -- new productions lines for growth like investments in France for certain treated zinc ore, the new plant being built for zinc chemicals in China and these businesses have improved substantially there profitability and competitive position through a combination of these investments and cost efficiency measures and are there for now in a good position to move to the next stage that we envisioned. Now in terms of redeploying the proceeds, while it is a premature to give a precise ID of how proceeds could be used, I think it is indeed reasonable to expect that part of the purpose is to redeploy capital indeed, the rationale behind the portfolio realignment as was the case in the past when we had other operations to change the portfolio of activities of Umicore, the purpose is to hold the focus on a more limited member of strategic area and you know that from strategic point of view we see our growth mainly in recycling battery material and Catalysis and clearly redeployment of capital on the higher growth, higher margin businesses is part of the way we want to manage the portfolio.
Operator: We will now take the next question from Tony Jones from Redburn. Please go ahead. Your line is open.
Tony Jones: Good afternoon, everybody. I got three questions; firstly, could you tell us what the net sales in EBIT contribution was from acquisitions in 2014? And then secondly on associate income, it looks like that was about 8% of EBIT this year, so a big jump up on last year, could you give us any guidance about what that might do in 2015 or whether that big jump was a one-off game? And then on recycling costs, with you talk about the expansion to be gradual from 2016, but will presumably get added depreciation and other operating expenditure in that year maybe even a little bit towards the end of 2015, how should we really think about the impact of that on the EBIT margin? Thanks.
Marc Grynberg: On the acquisition side Tony, so the two acquisitions in -- so basically just to clarify we have [performed] commodity acquisition that we realized end of 2013 which for the first time fully contributed in ’14 and then we have the acquisition of CP Chemicals that we done in the course of 2014. Those two together in terms of contribution you should think of -- and I’ll give you the EBIT guidance of a single-digit number. So that’s for those two and then we have the Todini acquisition which in a way is the acquisition of full control because it was a joint venture already in our portfolio since long. So Todini acquisition we did end of 2014 and that will basically change in 2015 from today an equity consolidated joint venture to fully consolidated joint venture. So, but for the two acquisitions for 2014, the impact EBIT say single-digit number and I’ll tell you that they have contributed to the EBIT of Energy Materials which clearly by far a largest increase in the profitability of Energy Materials gain from I would say organic growth and profitability increase.
Filip Platteeuw: Regarding your second question Tony, the increase contribution from associates in the EBIT was not a one-off that otherwise would not have shown as a recurring EBIT in a way and the bulk of that improvement comes from the improve results that Element Six Abrasives and the improvement there was a combination of several factors like the effect of recent restructuring measures, cost reduction measures of one side and the introduction of new product and gains in market-share on the other side. We had also a smaller improvement in the other non-consolidate joint ventures in Catalysis. Now to give you guidance for 2016 is too early that’s -- and in particular we typically do not give separate specific guidance for the associate, suffice to say at this stage that this was not a one-off. And then as far as recycling costs are concerned, one of the objectives of the expansion is that it will -- because it’s a ground field project that actually build on a certain existing infrastructure and considering the way it will improve the efficiency of the operation. It’s meant to reduce the unit operating costs of the recycling operation in Hoboken and thereby make it one side more competitive and on the other side improve the other margins. The exact timing of achievement of this reduction in unit cost, it will -- I mean it’s not disclosed, but it’s fair to assume that most of that will become visible at the same time as we gradually ramp up the extra capacity so it’s not going to be a brutal change at one pointing time it was gradually [percolate] through the P&L.
Operator: We will now take the next question from Junior Cuigniez from Petercam. Please go ahead. Your line is open.
Junior Cuigniez: Good afternoon. Thanks for taking my questions. Three questions from my side if I may. The first is maybe small on the guidance, does your guidance already factor in the disposal from the divisions and if you have to disposal -- do you mean to improve profitability. That’s not only on a relatively basis so i.e. higher profit margins and return on capital employed but also absolute performance, that’s the first one. Second is on vision 2015 return on capital employed dropped to 12% from 13.6 last year, are you still confident to reach it and also in view of the disposals, will the disposals reduce capital employment materially to lift the group return on capital employed on target. And my last question is on Catalysis, in last few quarters we lost some market share in Europe mainly driven by favorable mix. You always said that that was temporary in nature, can you confirm that the pace at which you gave away market share is not slowing down, that’s your successful introduction of some Euro VI compliance cars. Thanks.
Marc Grynberg: Junior, let’s start with the last question and dispel a misunderstanding we’re not losing market share it’s the mix that is changing, so that’s one. Secondly on the guidance, no, the guidance does not assume or it’s not based on any disposal so its business as it is and its current configuration. And I’m sure I fully understood the second part of the question regarding the guidance. As I mentioned -- there is nothing that the disposal will be done in the course of 2015 so it’s a little bit of theoretical question and I don’t want to link it to the 2015 guidance. In theory if you have, if you take into account what I mentioned earlier that is the returns on capital employed of the two business unit that we -- to divest is lower than the averaging operating performance materials and considering that it’s fairly indeed capital employed in terms, yes, one may assume that the post any divestment that the return of the group will increase.
Junior Cuigniez: And can you just confirm that the improved profitability is not only on a relative basis but also actual performance?
Marc Grynberg: I’m not sure what you mean by a relative basis, so I do not -- what you mean?
Junior Cuigniez: Okay. I understand what you said.
Marc Grynberg: Okay. Can you clarify that question, because I do understand -- I do not get what you mean?
Junior Cuigniez: You can have to improve profitability by increasing your margin but if you do not already factor in the disposals and its details also in absolute performance improvements.
Marc Grynberg: Okay. Good.
Junior Cuigniez: All right, thanks.
Operator: We will now take our next question from Rakesh Patel from Goldman Sachs. Please go ahead. Your line is open.
Rakesh Patel: Hi. Good afternoon. Couple of questions if I can, first of all what is it on [indiscernible] weather you can give a bit more color on the pricing and the competitiveness that you’re seeing here, only if you could help us by saying how much of that recharge battery materials is what you would term as commoditized versus higher end. And then secondly in HDD, can you speak to this in your view and how you look at statement of Euro IV for busses and trucks and that will be great. Thanks very much.
Marc Grynberg: Rakesh, now you will have to help me, your question was about Euro IV?
Rakesh Patel: Yes, in buses and trucks in China.
Marc Grynberg: Okay, in China and what was the question?
Rakesh Patel: How you see the shipment levels? And how long will it take to get towards go ramp -- shipment if you like, from here?
Marc Grynberg: Well, I am afraid that it’s nearly impossible to answer that question because no one has ability on that on the degree of shipment of Euro IV systems in China because we know what our customers do, we don’t know what we don’t know. So it’s -- and a difficult market and the question has been raised also in the past in respect of passenger car in China and the reality is that nobody really knows. I think one can suspect that for passenger cars the shipment rate of relatively high although and like in other countries it’s not reaching 100% for some reasons. For the emerging segment of trucks and vessels and it is more difficult to say. So, I don’t have a view on that and I am not really well positioned to speculate on that. And can you again repeat on your first question regarding NMC because I missed a part of it.
Rakesh Patel : Sure. Do you think you could tell us how much of the -- we talk about factory materials do you think is commoditized against the higher end segment. I’m trying to understand if there is a lot more volume still left to be said shared. It seems that you’re purposefully not trying to participate it and that commoditized business weather its price or pressure. Is that right or have I got that wrong?
Marc Grynberg: I would have to -- because the figure is not for you because actually as far as Umicore is concerned the entire electronics business is high end business. So for us the mix has already completed and migrated to high energy density materials. As far as the market is -- the overall market is concerned and that the Umicore picture we would have to reverse you.
Rakesh Patel : Well, I need to spend time to understand because in the statement you talk about aggressive pricing levels for some grades within NMC and that commoditization?
Marc Grynberg: That’s for a portion of our business that has become minute and because our portfolio has already migrated almost entirely too high end portables.
Rakesh Patel : Right, so there is nothing left to be lost if you like from this area?
Marc Grynberg: Nothing material.
Operator: We will now take our next question from Laurent Favre from Bank of America. Please go ahead.
Laurent Favre: Good afternoon Marc and Filip. The first question is on hedging and the bit of second guessing I guess on our side. But if I look at the metals that you can hedge so platinum, palladium, gold and silver. In euros platinum and palladium are not now higher than they were in July or August of last year. So I am just wondering is it the case of you having hedged of gold and silver because indeed debt gone up so much in the past six weeks or are you -- do you have a certain view on PGNs for instance and the fact that you are now thinking that well maybe it wasn’t that attractive in July and August. But for some reason that we are not aware of those prices are now attractive that’s a little second guessing. Then the second question probably easier to answer on the portfolio review can you give us a bit of context on how you got to the assets that you selected as non-core as opposed to for instance taking the whole performance division. So if I look at I don’t know Element Six Abrasives our technical materials or -- can you tell us why those are in our core or whether or not they may become non-core in the future? And so a bit of context on that portfolio review would be very helpful. Thank you.
Marc Grynberg: Okay, so let me start with the hedging. The prices are slightly better for platinum and palladium than they were last year, so in the course of January again in Europe per kilo and not in U.S. dollar per [tons] and as you know we hedge a section of our supply contract so there has been quite a bit of contracting activity taking place. And so you need to have a conjunction of sourcing in the materials and having the right prices to hedge the exposure. So I think it’s the conjunction of these factors that explains that we’ve decided to do that now and for gold and silver clearly the prices in euro are better materially better than they were in the course of last year. So overall yes the picture is better than in the course of last year and the contracts are there to be covered. Now how --
Laurent Favre: So in that case we should assume a better mix in 2015 than in 2014? I think in 2014 you complained about the lack of availability and higher competition from South Africa on PGNs?
Marc Grynberg: You should not assume a better mix as I mentioned in my introductory remarks the mix as we see it today is broadly in line with that’s of in the supply conditions broadly in line with those of 2014. So, then on your questions about the decisions to divest some activities and possibly not others, for the zinc businesses I think it's fair to say that they -- from a technology point of view they are a bit more remote from the rest of the activities of Umicore, whether we talk about the precious metals related activity in Catalysis activities or the Energy Materials related activities which we rely to large extent on minor metals and -- look we have a very broad portfolio of activities and we have decided to at first instance to make all these activities viable and possible in order to -- and grow a certain number of them more aggressively. We cannot do everything at the same time and give all the activities the same I would say resources for growth, we have to be selective so that we can build the critical mass and it is fair for the zinc activities. Now that we have resort their competitive position and profitability to give them the best chances was for growth and this is we’ll have to be all type of the Umicore group because we want to focus our resources whether it's human or financial resources on the more limited number of growth options. Why those? Because those are more remote from a technology point of view than -- and from an application point of view, from what we do in the rest of the group. Does that excludes or does that rule out other changes in portfolio? I would not say that because the portfolio of activities is something that we look at dynamically and we continually review that portfolio to make sure that we have the best chances of getting maximum value out of the activities and for one reason or the other we figure out that another configuration provide better chances for to create value out of an activity, we have to consider that.
Laurent Favre: So does it mean that you still want to restructure and I guess improve the performance of what could become non-core before it becomes on-core and you have the feeling that you’ve done what you need to do?
Marc Grynberg: Yes, it is typically a good source of value creation to fix an improve profitability of the activities you own and you know how to run even if you in the longer run want to divest and, so again I mean it's such a dynamic process and depends on market opportunities, market conditions, depends on -- I don’t know the evolution of the competitive landscape which may motivate you to look at different configurations for your activities, it's really dynamic process and actually we should never standstill with the portfolio of activities.
Operator: We will now take the next question from Wim Hoste from KBC Securities. Please go ahead. Your line is open.
Wim Hoste: Yes, good afternoon and couple of questions from my side to maybe first on rechargeable battery materials, I read the press release that you mentioned to have successfully qualified for new platforms, so could you maybe elaborate little bit on your contracts portfolio like for example how -- what kind of number of platforms are you now qualified on and then how many of these still has to come on the market and also elaborate a little bit on timing when these new platforms and new contracts will then reach the market? That’s the first question and the second one is on Catalysis, with regards to the U.S. part of your light duty vehicle Catalysis business, your mix was negatively impacted for a number of quarters now, do you see some light at the end of the tunnel and is that’s coming from either new contract trends or is that coming from the fact that consumes start to buy more larger price again given lower oil prices or low petrol prices? Thank you.
Marc Grynberg: Let me start with the second question Wim, it is the latter. So our contract mix is not fundamentally different in U.S. or in North America than it was last year. The reality is indeed that we see the trend changing with more of the larger engines being or just the cars with the larger engines, the SUVs et cetera being sold and that is favorable to us indeed. So, yes it was a temporary effect and I believe and looking at the usual patented U.S. that it is the largely due to the evolution of gas price. The number of platforms on which we’re qualified I would say is a high double-digit figure, number of -- I mean in the past we said 12, 15 platforms a number of them actually in the meantime hit the road although in automobiles in small numbers, but it’s still I’d say in that region and we expect more sizable, I would say quantitative in terms new platforms hitting the road to be there in the coming two years or so.
Operator: We will now take our next question from Peter Olofsen from Kepler Cheuvreux. Please go ahead. Your line is open.
Peter Olofsen : Good afternoon. I had a question regarding R&D expenditure in Catalysis, in recent years you have been investing in the HDD part of the business with you now shipping to clients, could we potentially see leveling of R&D expenditure meaning potentially lower absolute R&D expenditure in ‘15 or will you have to continue to invest in R&D and maybe looking forward, maybe out the next three to five years where do you think R&D as a percentage of sales go in Catalysis? I notice that it is grow from more than 10% a couple of years ago to 9% in ‘14, will it stay at around 9% or is it going to drop further as sales in this business continues to grow?
Marc Grynberg: Peter, you should expect R&D expenditures in Catalysis not to decrease as long as regulations continue to develop -- emission regulations I mean continue to develop and to get more stringent, there is a need not only to develop new products but also an expensive testing it’s been required. So you should not expect R&D expenditures in Catalysis to decrease in absolute value in the coming years. You may only expect them to decrease an absolute value at the time emission regulations in the world would start to and still -- to plateau, which is not in the foreseeable future I would say. In relative terms though it is indeed reasonable to expect that it will form a smaller percentage of the revenues as revenues ramp up in the course of this year and further with the emergence of all HDD business and some other applications coming up.
Operator: We will now take our next question from Simon Fickling, Exane. Please go ahead. Your line is open.
Simon Fickling : Good afternoon everyone. Can I ask on Catalysis first, you noted headwinds in diesel and I can I also sort of long term and market comments in the past you do believe all reaming important part of mix, are you as confident as ever given recent negative news flows and in particular your announcement by the mayor and also it being show up in various studies for I think quite negative cementations on the nitrous oxide side, that’s first question. Second question on energy materials, you commented in the half year of an expectation further margin pressure in the second half, was it slightly less than you anticipated in the second half and so as margin momentum going into 2015 slightly better than you thought six months ago. And then thirdly operating working capital improvement again this time can improve much further. Thank you.
Marc Grynberg: Simon, let me start with the easy one that’s the margin pressure in energy materials, no, it was not lower than expected or anticipated. This being said we’re quite happy with the volume growth that we saw in energy materials in the second part of the year but unfortunately the margin pressure was there. Now let me talk about diesel, yes I have seen -- we see the diesel that’s taking place and I think it is important to put things in the right perspective. The issue about diesel has little to do with the current diesel technologies, unfortunately people extrapolate from all the diesel cars 15 year old cars still circulating and polluting in the very visible manner because they emits this the black suit and the reputation of diesel is about indeed a predicated on technology that is outdated that is no longer equating the model that are being sold, but technology which is still on the road because of the life span of these diesel of engines. That being said, another myth is about NOs it’s exactly the name, nitrogen oxide are being addressed by the new Euro VI regulations and the need to have NOs abatement systems fitted on diesel cars since the end of 2014 whether it’s SCR based NOs abatement or other lean NOs trucks systems so again it is an extrapolation from older technologies and in a way it is a little bit regrettable that it took the regulators so long to address these emissions from diesel cars while the technology has been available for quite longer. If you look at the gathering cars they’re also humid that should be addressed and the first one is that the new fuel efficient gasoline engine are not as clean as they’re being presented and one of the issues with the fuel efficient and CO2 efficient gas engines if that they produce very fine and harmful particle of matters that will at one point in time also have to be addressed. And this tends to be generally overlooked when comparing gasoline engines with diesel cars. It remains that diesel engines has a significant CO2 advantage over and above gasoline cars and if we are to meet the future regulations in across regions and in Europe in particular by 2021 car makers will need to have a -- will need to sell a certain proportion of diesel cars in their mix especially if they have large cars and large engines in their sales mix they will need diesel cars in order to meet these new CO2 limits. And I see nothing wrong with that because again with Euro VI heading into -- enter into force the diesel cars are as clean in terms of emission as gasoline cars if not cleaner then the new generation of fuel efficient gas engines that I mentioned as long as those are not equipped with particular filters. Now this make sense from a strategic positioning point of view you may recall that from the Vision 2015 strategy presentation of Umicore that the rational that we pursue is that we want to be positioned and present in that clean mobility perspective regardless of the technical choice that are being made by our customers so regardless of the drive trains. So whether it’s the gas engine or diesel engine, a hybrid configuration and an electric vehicle or fuel cell vehicle we are present with the technologies that are required to make these vehicles work and to make these vehicles meet regulations and we also present that the end of the road to recycle those components. So I wouldn’t dare to say that we’re totally agnostic of the mix because as one knows diesel engines tend to provide a more attractive revenue and margin potential than their equivalent gasoline configurations so we’re not totally agnostic. But at the end of the day we are prepared to serve the market regardless of where the mix is going to be. And I continue to believe that diesel has its place and its role to play in the mix considering that the electrification is gradually taking place, gradually and we’ll take quite a while to reach a level such that it would in itself be sufficient combined with the gas engines to meet the emission norms the CO2 emission regulations. And I hope that addresses your question Simon.
Simon Fickling : Yes, that’s right the last one on working capital the further improvement?
Marc Grynberg: So I am going to take one on working capital I mean its early days but I would not guide to what the further reduction in working capital in 2015 I mean if you look at the last two years we basically took out about €150 million you know that working capital for us is counterweight you seen us from the graph typically when metal prices go down we get a compensating effect from working capital and then there is a mix obviously with growth et cetera but I would say given that we expect the growth outlook that we’ve put out for 2015 I would not guide toward the further reduction of working capital so rather the contrary actually if you look at the end of December number on the balance sheet you will also see already see a small increase in working capital. So indeed today again its early days but I would not guide towards a further reduction obviously in turn we will try to keep things as optimal as possible.
Operator: We will now take our next question from Adam Collins from Liberum. Please go ahead your line is open.
Adam Collins: I got three financial ones and one operational one, so starting on the financials the question on the currency impact on the P&L. In the past you’ve guided to one cent change in euro dollar impacting EBIT by 1 million is that effected in any way the hedging that you’ve done in relation to currencies and metals that you explained earlier? Second one is on the tax rate, in the part you’ve guided to mid-term raise of 25% as both in tax losses or extinguished but that hasn’t been the case through this last year. So what’s going on there, what are the offset for the long tax rate to remain pretty stable? And the third one is on the CapEx in recycling division, you talked about a 100 million investment for the expansion initiatives here in the last year divisional CapEx fell by 30 million year-over-year and that was a high term level of CapEx previously, could you help us understand what the CapEx component is for the expansion initiative going into ’15 and why there is that net reduction despite the fact there are all those initiatives occurring? And then the final one, which relates sort of to recycling is around filling of the pipeline for 2016, I wonder if you can update us on the progress that’s been made in signing up [ever-green] contracts to fill that extra capacity when it emerges?
Marc Grynberg: I must start with the currency then, so on the currency impact is different types of currency impacts of currency impact as you know we have the transactional exposure which we typically hash through these transactional hedges, so that should in margin -- I mean shouldn’t have an impact and we have this strategic currency impacts which has partly a metal aspect and partly a non-metal aspect. The reference you make towards the guidance we have being €1 million to $0.01 is the non-metal currency, structural currency exposure and indeed to answer your question, we -- part of the hedging has covered the euro-dollar non-metal structure hedging exposure. So indeed the 1 million to $0.01 is partly reduce through the hedging.
Adam Collins: Can you give us a sense of what it becomes, just a rough sense?
Marc Grynberg: I mean sizeable means, sizeable let's say about half when it comes to non-metal ForEx exposure let's say about half. That is basically covered that as we levels that stock relatively basically. Now then there is this translational ForEx exposure that’s another aspect obviously where I think in the half year we have guided towards a low double-digit number in terms of impact on EBIT. For the full year I would say we’re at single-digit, so because we’ve seen in the second half of the year clearly some of those clear headwinds turning somewhat into fair or at least being compensated so to say single-digit for the full year, but still I mean significant enough to have an impact on the overall [deal]. Is that okay for the first?
Adam Collins: Yeah, that’s clear.
Marc Grynberg: Tax rate, you're right that we guided towards a gradual increase in the tax rate, but is still our guidance is getting mostly than we have anticipated in most figures because of the mix in I would say reasonable profitability and in a number of other effects just call them tax technical effects. For 2015, I would say we should be relatively close maybe a bit higher, but not that much compared to we have in ’14 which is close to 22%. And then again I would repeat the guidance for the years there after gradually increasing, I mean we have it theoretical tax rate which stays around the 30%, so let's say gradual increase first to the level of 25% of maybe two or three years, next year again it's early days. We be relatively close to the level of 20--
Filip Platteeuw: And then let me know your other question which was about the sorting of CapEx question.
Adam Collins: There was a question on CapEx as well.
Filip Platteeuw: The CapEx question Adam, we guided I think for 2014 is -- the third quarter we guided towards 220, 250, so we’ll -- so we’re at 200 basically. I think it's a bit of the timing effect again, but it mean certainly that the percentage of I would strategic project, growth project has further increase and that’s why for 2015 we have this coinciding effect from Hoboken on the new plans in Catalysis which will again push it higher, so there is -- I wouldn’t say there is a structural kind of change happening, it's still very much strategic projects and maybe a bit lower indeed than what we guided for 2014, but basically again back to the levels of 2013, we expect both 2015 for the current year.
Marc Grynberg: And if I may add the bulk of the 100 million CapEx program for the expansion of Hoboken is to be spend in 2015, as we explain that the time we launched the project it's only a first phase of investment that was done in 2014. So that explain the different or the imbalance between what you’ve seen in 2014 and what you should expect in 2015. Sorry I was bit too quick to take over from Filip and address the question, give me a little bit extra to time to think about my answer. So sourcing for Hoboken looking at the 2016 and sign that extra capital will gradually become available, the souring situation will still -- you may recall from earlier presentation that the capital expansion was targeting extra materials coming from certain segments like industrial byproducts and complex byproducts from mining operations. And these are clearly two areas where we see indeed increase availability and where we starting more materials which indeed the extra capacity in the back of ore mine and that’s why we have also been in the position to start hedging some of the metal component of these contracts into 2016. So the supplying situation looking at the capacity expansion looks positive. I would like to remind you once again that we will not need half a million tonne in 2016 because the capacity will gradually come on stream after the investment phase and the full benefit of that belong will only be visible in 2017.
Adam Collins: That’s clear. Thank you.
Operator: We will now take the next question from Denis Lepadatu from Kempen. Please go ahead. Your line is open.
Denis Lepadatu : Good afternoon. I have three spending questions left, first of all coming back to the capital expansion for recycling I was wondering if you will be prepare to give some guidance on the incremental return on capital for this investment provided personal prices stay where they are. Secondly, on the vision 2015, is there any change to get an update on that, is it still feasible to expect growth in excess of 10% on average for the medium term for the three growth areas identified and what would be the road map to reach the 15% return on capital employed. And last on the balance sheet, is there a reason to keep the balance sheet so lean especially considering the group cost of debt and should we expect some further buybacks in 2015.
Marc Grynberg: I’ll let Filip answer the question about the balance sheet, and let me start with the capacity expansion in Hoboken. You may recall from the previous discussion that we said that the project would be value creating which means that the return from that investment would be well above the cost of capital. This being said it is not going to be at the same level of average -- that we have typically seen in Hoboken but still value creating, by a distance. Now moving to your second question about vision 2015, yes, the growth rates in the areas where we invest dramatically are very significant in recycling, in automotive catalysts and in battery materials. Of course in recycling its sometimes it go to see the underlying growth because it maybe last by the metal price movements when it comes to the revenue evolution and in Catalysis we had a few setbacks that we’ve discussed in terms of mix, in recent quarters that have also not allowed us to show the full potential in terms of growth and as I mentioned earlier that is changing and will be changing in 2015. The roadmap to 15% return on capital employed that we want to reach again because it’s not I would say the reason on the return that we have been able to reach on several occasion during the cycle. The road map is clear, it is driven by growth. We have done quite a fair amount of investments that had weight on the returns in the past three years in combination of course with somewhat less favorable and micro factors. Now these investments are to a large extent so many of them ready to start contributing to the top and the bottom line and that will be the main source of improvement in returns on capital employed on the road to 15%. The other part of the equation is that we will continue to manage our costs very carefully with a view at productivity and efficiency improvement so that will remain part of the picture but as I mentioned the bulk of the improvement has to come from the expansion that we have been preparing for a while. And with this said I will hand over to Filip to comment on the balance sheet.
Filip Platteeuw: So, on the balance sheet you’re absolutely right, it is a lean balance sheet. I will say that the reason why we keep it as it is, is that clearly we still are looking at opportunities to use that financial flexibility. You’ve seen that we’ve done in number of smaller acquisitions for our unit so clearly the balance sheet that we have allows us to look at future growth prospects from an operational I would say organic point of view clearly we have six times of operating cash flows to fund organic growth but the balance sheet gives us the option to look at further growth. I would say the balance to that the flip side to that is obviously that we are committed to this cash return to shareholders and balance that with the operating growth expenditures and as you seen we’ve again in 2014 had about 190 billion of cash returned which if you relate it to the operating cash flow is quite substantial. So indeed it’s not just about clinging on to a balance sheet it’s about having the opportunity to look at further expansion and at the same time making sure that we return the appropriate cash return to shareholders linking it to your question on share buyback indeed we have 3.5% today and we can go up to the 10% so we have this mandate, we have the flexibility to do that indeed.
Denis Lepadatu : Okay, thank you. But is there any intention to do so this year or it remains to be determined in terms of buybacks I mean?
Filip Platteeuw: Again we have the commitment towards cash return to shareholders you’ve seen it over the last few years so that will not change. And so we have the mandate so yes.
Operator: We will now take the next question from Joe Dewhurst from UBS. Please go ahead your line is open.
Joe Dewhurst: Just two quick questions, just on the LCO market and indicated there’s been a bit of a some step up in competition there just again how that’s looking and if it’s become a lot more competitive in the last few months or if you continue to maintain a very strong position there? And then just on the corporate costs with especially with the car line and the sale of the businesses, would you expect to see corporate cost go down to the similar proportion to the capital employed that you move out? Thank you.
Filip Platteeuw: Let me start Joe with the question regarding LCO. I am not sure having mentioned in the past increased competition and increased competitive pressure there, we have maybe mentioned that for lower grade materials of NMC the segment that we have almost entirely exited by now it’s I commented on earlier. No in LCO our position remains extremely strong for the high energy density materials and for the high end applications so that’s no change and that’s driving quite a bit of a growth of the business units. In terms of the cost reduction or the corporate costs I think it’s too early to comment, I think we need to figure out how we move ahead with the business units that we have now earmarked for a different configuration and we’ll see obviously if we are to sell business units we’ll have to make sure that they have the right level of support services to be saleable first and secondly, if residual costs out to be addressed we’ll do that in due course.
Operator: We will now take the next question from Oliver Reiff from Deutsche Bank. Please go ahead your line is open.
Oliver Reiff: Thanks just one for me on recycling, could you please remind us of when the planned downtime will happen this year during which month is that as opposed to, sorry one more just in terms if you can give an indication in terms of days or period of time on the normal shutdown time versus what you’re expecting for this year? Thanks very much.
Marc Grynberg: The only thing I am willing to disclose that we have one shutdown in the first part of the year and one shutdown in the second half and both will be fairly extensive in terms of duration compared to the regular maintenance shutdowns. And that’s the only thing I would like to say at this stage.
Operator: And we will now take the next question from Asad Abedi from Millennium. Please go ahead your line is open.
Asad Abedi: I just like to put two questions. I’d like to confirm are metals prices in euros for the majority of -- are they up right now versus the average of last year? And is that assuming your guidance?
Marc Grynberg: Sorry Asad can you repeat that?
Asad Abedi: Our metals prices in euros up right now versus the average of last year?
Marc Grynberg: Yes.
Asad Abedi: And when you grow your recycling business over the next couple of years, could you talk about the working capital implications of that?
Marc Grynberg: You know that in recycling we have a business model which is low on working capital that’s an interesting characteristic of the business, the increase in capacity should not fundamentally change that.
Operator: There are no further questions, so I would like to turn the call back to Mr. Grynberg.
Marc Grynberg: Thank you, Lidia and at this stage I would like to thank you for attending the conference call and I would like to offer to answer additional questions as we meet in the coming days and in the meantime of course our Investor Relations team will be available to help you with your models. So, I look forward to seeing most of you in the next few days and discuss some of the things and key messages that we have outline today in more depth and in the meantime I would like to wish everyone a very nice weekend. Thank you and bye, bye.
Operator: Thank you. This will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.